Operator: Good day and welcome to the Ormat Technologies Inc. third quarter 2015 earnings conference call and webcast. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Jeff Stanlis with Hayden MS, IR. Please go ahead.
Jeff Stanlis: Thank you, operator. Hosting the call today are Isaac Angel, Chief Executive Officer, Doron Blachar, Chief Financial Officer and Smadar Lavi, Vice President of Corporate Finance and Investor Relations. Before beginning, we would like to remind you that information provided during this call may contain forward-looking statements relating to current expectations, estimates, forecasts and projections about future events that are forward-looking, as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operations and are based on management's current estimates and projections, future results or trends. Actual results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see risk factors as described in Ormat Technologies' annual report on Form 10-K filed with the SEC. In addition, during the call we will present non-GAAP financial measures, such as EBITDA and adjusted EBITDA. Reconciliations to the most directly comparable GAAP measures and management reasons for presenting such information is set forth in the press release that was issued last night, as well as in the slides posted on the company's website. Because these measures are not calculated in accordance with U.S. GAAP, they should not be considered in isolation from the financial statements prepared in accordance with GAAP. Before I turn the call over to management, I would like to remind everyone that a slide presentation accompanying this call may be accessed on the company's website at ormat.com, under the Events & Presentations link that's found on the Investor Relations tab. With all that said, I would now like to turn the call over to Isaac Angel. Isaac, the call is yours.
Isaac Angel: Thank you very much, Jeff and good morning, everyone. Thank you for joining us today for the presentation of our third quarter 2015 results. The third quarter was a very strong quarter for us with record total revenue and adjusted EBITDA driven from the solid performance of both segments. The electricity segment delivered double-digit growth in generation and solid margins despite headwinds related to oil and natural gas prices reflecting our focus on profitable growth from existing operations. We also continued to improve construction lead time and brought online the second phase of Don Campbell plant in Nevada six months earlier than planned. And now we expect earlier completion of plant four in Olkaria, Kenya. In our efforts to promote our strategic initiatives, we achieved a significant milestone by signing a strategic collaboration agreement with Toshiba, the world's leading supplier of geothermal steam turbine. Through this relationship, we will explore and develop strategic opportunities that will enable us to approach and capture a larger portion of the global geothermal market. I will elaborate on this milestone and other business development in closing remarks. I would like to turn the call over to Doron to discuss our financial results for the quarter. Doron?
Doron Blachar: Thank you, Isaac and good morning, everyone. Let me start by providing an overview of our financial results for the third quarter ended September 30, 2015. Starting with slide six. Total revenue for the third quarter of 2015 were $162.9 million, up 16.1% compared to $140.2 million in the third quarter of 2014. 60% of the revenue came from the electricity segment. In our electricity segment, as you can see on slide seven, revenues were $97.2 million in the third quarter of 2015 compared with $102.5 million last year. The decrease was mainly due to lower energy rates resulting from lower oil and natural gas prices and a reduction in net gain on derivative contracts. The decrease was partially offset by the contribution from the McGinness Hills Phase 2 power plant and the phase two of our Don Campbell, both in Nevada. These two expansions coming online were also the main driver for the 10% generation growth compared to the third quarter of 2014. Based on our policy, we will manage our economic exposure to natural gas and oil prices in our electricity segment through hedging activities in May went up into derivative transaction until we get 50% of our exposure fluctuation in natural gas prices as fixed price is $3 three per MMbtu until December 31, 2015. As a result of the hedging activity, we recorded a net gain of $0.4 million in the third quarter of 2015 compared to $4 million gain in the third quarter of 2014. In the product segment on slide eight, revenues was $65.6 million compared to $37.7 million in the third quarter of 2014, which represents a 73.9% increase. As many of you already know, our product segment is characterized by fluctuations in quarterly revenue. This segment delivered a strong quarter that was benefited from new contracts, including the EPC contract related the geothermal project in Chile as well as the progress with the solar project in Indonesia. Moving to slide nine. The company's combined gross margin for the third quarter was 36.4% compared to 39.6% in the third quarter of 2014 and similarly on a sequential basically for the gross margin generated in the second quarter of 2015. In the product segment, gross margin was 36% compared to 38.9% in the prior year quarter. In the electricity segment, gross margin was 36.8% compared to 39.8% last year. The margin in the electricity segment was significantly impacted by approximately $6 million reduction in oil and natural gas prices as well as a $3.6 million net gain from hedging activity compared the third quarter of 2014. Excluding these effects, gross margin increased from 33.2% last quarter to 36.5% this quarter. This reflects the enhancements implemented in our power plants and the improved efficiency of our operating portfolio along with the new capacity that came online. Moving to slide 10. Third quarter operating income was $46.5 million compared to $43.8 million in the third quarter of 2014. Operating income attributable to our electricity segment for the third quarter of 2015 was $28.3 million compared to $32.4 million for the third quarter of last year. Operating income attributable to our product segment was $18.1 million compared to $11.4 million in the third quarter of 2014. Moving to slide 11. Interest expense, net of capitalized interest, for the third quarter of 2015 was $17.7 million compared to $22.5 million last year. This decrease was primarily due to the lower interest expense as a result of debt payment and decrease in interest expense related to the sale of tax benefits. The decrease was partially offset by an increase in interest expense related to a new loan to finance the construction of McGinness Hills Phase 2 project from August 2014. Moving to slide 12. Net income attributable to the company's stockholders for the first quarter of 2015 was $72.1 million or $1.41 per diluted share in the third quarter of 2015 compared to $16.5 million or $0.36 per diluted share for the third quarter of 2014. The net income includes $48.7 million deferred tax asset and related expenses relating to an investment deduction for our Olkaria 3 power plant in Kenya. In September, Kenya's Income Tax Act was amended, thus leading to certain provisions of the recently adopted Finance Act. These amendments retain the enhanced investment deduction of 150% and extend the period for deduction of tax losses from five years to 10 years. Previously, we had a valuation allowance reducing our deferred tax asset in Kenya as the utilization portion of the tax losses was not probable within the original five years carry forward period. As a result of the change in legislation and the expected continued profitability during the extended carry forward period, we expect that we will be able to fully utilize the carry forward tax losses within the 10 years period and as such will release the valuation allowance of the additional 50% investment deduction for Olkaria 3 power plant in Kenya, resulting in a $48.7 million of tax benefit and related expenses in the third quarter of 2015. Excluding the deferred tax asset and related expenses, net income attributable to the company's shareholders was $23.4 million or $0.46 per diluted share compared to $16.5 million or $0.36 per diluted share in the third quarter of 2014. Please move to slide 13. Adjusted EBITDA for the third quarter of 2015, reached a quarterly record of $79 million, an increase of 14.3% compared to $69.1 million in the same quarter last year. Adjusted EBITDA for the nine months ended September 30, 2015 was $212 million compared to $204 million in the nine months ended September 30, 2014. Turning to slide 14. Cash and cash equivalents as of September 30, 2015 was $171.5 million. We generated $120 million in cash from operating activities. The accompanying slide breaks down the use of cash during the quarter. Our long-term debt as of September 30, 2015 and the payment schedule are presented on slide 15 of the presentation. The average cost of debt for the company stands at 6.06% and the net debt amounts to approximately $710 million. On November 3, 2015, Ormat's Board of Directors approved payment of the quarterly dividend of $0.06 per share for the third quarter. The dividend will be paid on December 2, 2015 to shareholders of record as of closing of business on November 18, 2015. That concludes my financial overview. I would like now to turn the call to Isaac for an operational and business update. Isaac?
Isaac Angel: Thank you very much, Doron. Starting with slide 17 for an update on operations. Generation in third quarter was 1.1 million megawatt-hours, compared to 1 million megawatt-hours in the third quarter 2014, which represent 10% increase mainly due to the contribution of McGinness complex and also reflecting an initial contribution of our Don Campbell Phase 2. Moving to slide 18. We continued our efforts to grow our electricity portfolio. During the quarter, our Don Campbell Phase 2 began commercial operation, doubling the generating capacity of the complex to 38 megawatts. I am very proud of our execution on this project. We brought this phase online six months ahead of schedule and just 10 months after we broke ground and less than two years after commencing operation of Phase 1. Campbell will sell its power under a 20-year power purchase agreement with the Southern California Public Power Authority, who will resell the entire output of this plant to the Los Angeles Department of Water and Power. Northleaf Capital Partners, our joint venture investor, will purchase 36.75% equity interest in the project which will be added to the existing ORPD joint venture upon completion of certain debts in accordance to the terms of the agreement. Moving to slide 19 for an update on projects under construction. As I mentioned, we continue to improve construction lead time and expect an earlier completion of the 24 megawatt project in Olkaria, Kenya. The project was initially expected in the second half of 2016 and currently planned to be completed in the first quarter of 2016. In Sarulla, Indonesia the engineering, procurement and construction under the EPC contract with Hyundai are in progress. The infrastructure work has been substantially completed and major equipment, including Ormat partial OEC and Toshiba steam turbine arrived in the country. The drilling of production injection wells are also in progress in all three phases. However, the project company is experiencing delays in drilling and EPC milestones as well as the cost overruns, mainly in the field development of second and third phases of the project. All the scheduled milestones on the Ormat supply agreement were achieved and manufacturing work is progressing as planned. The first phase of operation is expected to commence towards the end of 2016 and remaining two phases of operations are scheduled to commence within 18 months thereafter. The project I just described as well as additional projects, including the Menengai in Kenya and Platanares in Honduras are under various stages of development and expected to add between 70 to 95 megawatts by the end of 2017. Besides the investment in new projects, we are continuing our exploration and business development activities to support future growth. If you could please turn to slide 20, you will see our CapEx requirements for the reminder of 2015. We plan to invest a total of approximately $9 million in capital expenditures on new projects under construction and enhancement. An additional approximately $9 million are budgeted for exploration activities, development of new projects and maintenance capital for operating projects. In addition, $31 million will be required for debt repayment. Turning to slide 21 for an update on product segment. Our backlog as of November 3 stands at approximately $282 million. Our backlog together with the new contract that we expect to sign will support our financials in the next two, three years. Moving to slide 22 for a business update. The strategic plan that we laid out on our Analyst Day and in previous calls included several parts. In the near term, we had two main objectives. First, to focus our efforts on profitable growth by enhancing existing operations. And second, to continue diversification of technologies by deepening the geothermal penetration. As you can see in slide 22, we have dramatically reduced the operational cost per megawatt hour. The actions we have taken to improve efficiencies are reflected in the solid margin and in the adjusted EBITDA and we will continue to focus our efforts on profitable growth. The second objective includes diversification of technologies by marketing our binary technology to a wider range of resources as we did in Chile EPC contract, as well as to further expand the high temperature market by offering a wider range of optimal solutions including wind turbine. And as I mentioned in my opening remarks, we achieved a significant milestone by signing the strategic collaboration agreement with Toshiba. Moving to slide 23. This agreement was announced after the third quarter, but has been in development for many months as we work together on different projects. This collaboration will leverage Toshiba's 49 years of expertise in flash systems and Ormat's many years of expertise in binary systems to offer an efficient solution that combines the two technologies and meets the technological needs of many geothermal projects around the world. By working together, we expect to approach and capture a larger portion of the geothermal market. To further our strategic long-term goals, Ormat continues to proactively seek M&A opportunities in our existing business lines as well as in the solar power generation and energy storage businesses. Moving to slide 24 for regulatory update. Legislation that will benefit our industry is occurring at the global and regional levels. In early October, California Governor Jerry Brown signed a new law which expanded on its existing renewable portfolio standard or RPF policy. The new law requires that utilities procure 50% of their electricity from renewables by 2030. Already the state mandated that utilities procure 33% of their electricity from renewables by 2020. This law serves as a significant incentive for utilities in California to seek a long-term power purchase agreement with renewable energy providers. California joined Hawaii, which earlier this year increased its renewable requirement to reach 100%by 2040. As California and Hawaii see the economic and environmental benefits of these of arrangements, we believe other states will follow boosting demand for clean and renewable energy. Turning to slide 25. We increased and narrowed the range of our 2015 total revenue guidance and increased adjusted EBITDA guidance. We expect total revenue of between $570 million and $585 million through the composition to be more heavily weighted towards our product segment. We anticipate stronger performance for our product segment and expect revenue to be between $195 million and $205 million. For the electricity segment, we expect revenues to be between $375 million and $380 million. The electricity segment revenue guidance assumes the continued impact of lower oil and natural gas prices, which translates to approximately $28 million reduction in revenues compared to last year. We expect 2015 adjusted EBITDA guidance of $282 million to $292 million for the full year, which is also impacted by current oil and natural gas prices. We expect annual adjusted EBITDA attributable to minority interest to be approximately $13 million. In summary, I am very pleased by our year-to-date progress and we believe we are well positioned to achieve our long-term goals. Today, Ormat is a leader in the geothermal energy sector with a uniquely differentiated business model, which creates a compelling competitive advantage. As we are looking forward, we expect Ormat to leverage its capabilities to explore growth opportunities and become a leader in the broader renewable energy sector. This concludes our remarks for today. Thank you for continued support. Operator, please?
Operator: [Operator Instructions]. Our first question will come from Paul Coster of JPMorgan. Please go ahead.
Paul Coster: I have a couple of questions actually. The first one is regarding Toshiba partnership. Can you talk just a little bit about the incentives and how much skin in the game you have got in that partnership? When I say skin in the game, I mean have you allocated any capital or resources to partnership? And in terms of incentives, penalties as well as rewards on successful go-to-market?
Isaac Angel: Hi Paul. Good morning.
Paul Coster: Good morning.
Isaac Angel: I will try to elaborate on the contract itself. Contract calls for a partnership which Toshiba and we are basically joining in go-to-market strategy. And by doing so, the both companies, we are going to the whole market of geothermal regardless temperature of the resources, which means if Toshiba, which are providing steam turbine for the higher temperatures, they have a project that calls for a bottoming unit, Ormat will be the preferred partner to provide this unit. On the other hand, on the project that we are approaching which has a higher temperature and calls for as a steam solution, then we will use Toshiba solution as the steam turbine and then we will add out solution as a bottoming, which means that now we have complete solution to the market to provide a better and efficient solution for the customers and obviously a more profitable one for the long-term.
Paul Coster: How do you get compensated? What's the incentive here if you sell, for instance, Toshiba solutions?
Isaac Angel: The idea is not that we are becoming a agent of Toshiba, because the fact that we are building a solution is to include our hardware in a solution and their hardware in a solution. It's basically providing a much profitable solution. Don't forget also that Ormat is an EPC company providing an end-to-end solution to the customer and part of the solution can easily be a steam turbine. It was done before by Ormat using different providers and this time the end solution is being tailored to be more efficient and not something that will be done on sporadic basis.
Paul Coster: Okay. So another question I had is, the backlog has come down several quarters in a row now from a very elevated level, but you have talked of your pipeline and now you have got new partners to go after new business. At what point do you think the backlog starts to rebuild? Thank you.
Isaac Angel: Paul, we are working very diligently on few large projects. As you know the company, we are working on large projects and those are not coming in on 10 and 15 deals a year. We have large single projects that we are working on and it's a timing issue. At the end of the day, I am very optimistic with our product segment future. And another thing that you should keep in mind that the we had re-signed year-and-a-half or two years ago, a $256 million project in Sarulla and two quarters ago a $100 million project in Chile and several small projects here and there. And the company is working as we speak on additional projects, by ourselves and with our partners and I am very optimistic that the backlog will pickup again.
Paul Coster: All right. Thank you very much.
Isaac Angel: Thank you very much, Paul.
Operator: The next question will come from Dan Mannes of Avondale Partners. Please go ahead.
Dan Mannes: Thank you. Good morning, everyone.
Isaac Angel: Good morning, Dan.
Dan Mannes: So I guess the first thing I want to ask about is, given the current natural gas price environment, number one, are you considering at all any further hedging for next year? Or given the absolute low level prices, you don't view significantly more risk as it relates to things getting worse?
Doron Blachar: Hi Dan, it's Doron. We are hedging usually our contracts at the beginning of the year with our budget. And then obviously as we get closer to the end of the year to finalize our budget for next year, we will have to see the pricing and the pricing are extremely low. And then we will have to take decision if they can continue to go lower, we want to hedge it and take out this risk. It's important however to remember that once the full exposure to natural gas goes away in beginning of January, the Heber contract that was signed a few years ago which was an SO contract, it becomes a fixed-price contract, so the impact of natural gas going forward is going to be reduced by $0.01. And if you look at the longer term, we have a Ormessa, which is another one-third contract ends at the end of 2017 and we are optimistic that we will be able to finalize a contract and with an offtaker that will fix the price going forward as well.
Isaac Angel: Excuse me. I wan to add one thing. Another thing that I think is keep in mind is, we are trying to beef up our electricity segment faster than before. And as more and more megawatts which are in fixed-price coming on line and the percentage wise the effect of the gas prices is going away, regardless one should, just as Doron mentioned, on the one third beginning of next year and another one-third next year. So we are working on it to minimize the risk that we have on the gas prices. And as you probably know, the gas and oil prices are surprising us all, all over again.
Dan Mannes: Understood how that exposure reduces. I guess the follow-up there as it relates to the Ormesa contract, which you are in negotiations on. With pricing continuing to slip, are you getting any pushback as to the fixed-price level for that contract? Because I think you started negotiating that contract many, many months ago. Is the reset firm or is that still under negotiation in terms of the pricing you will ultimately get?
Isaac Angel: Let's I can positively say that I am very optimistic that this is set to a fixed price already and we are in the final stages of finalizing.
Dan Mannes: Understood. I guess the secondary question is, site given the current low price, does that have any impact on your development activities and the price of negotiating PPAs? And the secondary part here is, competing products against solar and wind are also, we are seeing a much lower price from those products as well on the current environment. Is that impacting you on the development side?
Isaac Angel: Look, we should be and it's naïve to say that the solar prices are not having an impact on geothermal prices. But on the other hand, the new RPS is giving us some backwind and there are still utilities in the U.S. that are looking for geothermal solution in reasonable prices. As it stands today, we are negotiating more than several PPA and I am happy with their prices as they stand today.
Dan Mannes: Okay. If we can follow up on the development side, great progress on Campbell, it sounds like Olkaria 3 also you are executing very well in bringing these plants on time earlier than expected. I guess the second part of that was Platanares and Menengai, we haven't really heard much about either of those two projects in a couple of quarters. What's the current confidence level on those two projects or other unnamed projects getting by the end of 2017? Just because we see very little capital spend on those and you haven't really given us much in terms of our progress reports?
Isaac Angel: Okay. As you probably know, Dan, we usually report on projects which starts EPC, but in this particular case, as you are asking, on the Menengai project we are already in the financing process, which is a very advanced process in the project. GDC already finalized their part. And we are beyond the development projects, at the end of the development project on Platanares. And beyond that we have the Tungsten project, which is also developing more than well. And so we have three projects that they are at a phase that we might come up with announcements with them. Beyond that, don't forget that we are doing lots of efforts outside of the U.S., such as Menengai and others and we developed a lot by building the infrastructure in some countries such as Indonesia, Kenya, Tanzania and Ethiopia and we are doing, in my opinion, a huge progress there. So I am very, very optimistic if I am looking at our BD efforts. You are right on the CapEx investment this quarter, but again as I said at the beginning, it's a timing issue. So there are no setbacks, or no more at least, in none of those projects that I have just mentioned and they are actually progressing more than well.
Dan Mannes: That's great color. The last question I will ask you is, as it relates to solar and to a lesser extent, batteries. You talked a lot about that during your strategic plan at your annual meeting with our shareholders or with investors. Can you maybe give us an update on what your development plans are in the solar industry? Is this primarily direct development? Have you morphed and are looking more at M&A? Just talk to us about where and what you are doing these days.
Isaac Angel: One thing I could tell you, Dan and I also mentioned in your conference, we are not going to be a solar developer tomorrow. That's not the intention. It was never the intention. And the intention is that we will be basically going into projects which they have also solar solutions in the enterprises which is, as you just said, more M&A and project specific that are looking on blended solution which also have a solar solution in it. And it was never the intention that suddenly we are going to become a solar development company. Beyond that, on the solar solutions, we are looking for M&A and we are progressing well, but you realize that this management is in power exactly year-and-a-half and in this year-and-a-half we did lots of restructuring and our first priority was to concentrate on our existing assets and enhancing which we are doing and it's basically on our gross margin and EBITDA. And this program will, it's a long process and it will take at least another year to come up with more and more enhanced power plants and I am very optimistic that we will be able to add lots of megawatts to our existing power plants, specifically lots of profitability to our existing power plants. And it's a big ship. It takes time to turn the ship and most certainly on new initiatives which requires a change of the DNA in recruiting new people which we are doing, but specifically on the store side, I am very optimistic that we will come up with an initial view that will initiate this path and we are almost there.
Dan Mannes: That's good color. Thanks a lot.
Isaac Angel: Thank you.
Operator: The next question will come from Mark Barnett of Morningstar. Please go ahead.
Mark Barnett: Hello. Good morning.
Isaac Angel: Good morning, Mark.
Mark Barnett: Maybe not morning for you, but --
Isaac Angel: It's very morning for us, Mark. We are in Reno.
Mark Barnett: Okay. You are right. All right, well, good morning again. First question, you had spoken too it a little bit, but I am just curious as to what in particular drove the impressive speed with the completion of the Campbell plant? Six months is obviously a pretty significant acceleration. So maybe if you could talk about that a little bit? And then the flipside, you had mentioned, I had lost the call for a minute, the delay in drilling I believe at the Sarulla project. If you could maybe address maybe the technical issue that's holding that project up at the moment?
Isaac Angel: Okay. And here is related to your first question. As we started to restructure, our focus was and still is to look into profitability and in order to do that we had to work on cost issue, restructuring of our EPC department and working diligently in a bit different manner how to expedite each and every process that we are doing, which we successful did and as you just mentioned Don Campbell come online six months earlier and our Olkaria plant will be coming online again almost six months earlier than planned, which we all realize that every day that this thing starts to operate, it's a lot of profitability for the company. And this we already achieved. But again it's a working process. Those processes are changing with time and we are becoming more and more efficient everyday that passes I am very proud of our EPC department that really succeeded to work miracles in both projects and now we are expecting to the same also in the upcoming projects. On the Sarulla project, we had to divide it in two parts. In one part, we are a product supplier and we had a contract to supply Hyundai which is the EPC provider of Sarulla project, the hardware. And on this part, we are on progress, we are on time, we are delivering and getting paid and everything is okay. On the other side, if you look at the project itself, which we are an equity partner, small equity partner of 12.75%, we are not running the show. The show is run by a larger equity partner and as any other geothermal project, which we all know and the market recognizes, there are issues. There are issues of drilling, there are issues in civil work, there are issues in what we report as well or is that there are some issues which are delaying the progress of the project and they are being delayed for months. It doesn't have any effect as of now to our supply agreement and we expect that the partners, with the help of us and others, will overcome this hurdle and at the end of the day, the project will be running. The first phase, I am expecting that the first phase will be pretty much on time. And the second and third phases will be a bit delayed but we should all remember that it's the biggest geothermal project in the worth of 300 megawatt and those delays and issues were expected on day one. But as we want to be as transparent as we can, we just simply report them.
Mark Barnett: Okay. I appreciate that. I know it's obviously a very complex process. Just the last question and maybe tough to answer at this point, but with the new RPS signing in California, obviously you talked a little bit about economics of competing technologies a little bit earlier. When do you think, at this point, we will see the utility RFPs go out for looking for evidence of your competitiveness in the next round of PPAs signed?
Isaac Angel: Mark, it's a very good question. But we are asking the same question actually here. But to be serious, we don't expect in Nevada to new RFP coming, for example, for next two or three years. On the other hand, there are certain RFPs running in California. And we are in PPA negotiations with some utilities based on the new RPS already not necessarily through an RFP process. And don't forget there are other states in the U.S. that are also looking into geothermal and we are expanding our reach beyond California, Nevada and Hawaii. But most importantly, as we announced about a year ago, we increased our reach elsewhere, which is outside of the U.S., which as we have announced, in Chile, in the fast expansion in Kenya. We are approaching Indonesia very heavily. And we are going into Ethiopia very heavily. So at this time, basically with the announcement in California, it is getting rosier, but if you look six months ago, it was a bit darker than today. So the fact that we are trying to diversify our market and reach and not go ahead only in the U.S., but also elsewhere is basically opening up a lot of opportunities. And we expect to increase the growth rate on BD within the upcoming years.
Mark Barnett: Okay. Thanks very much for those comments. And that if you listening, just congratulations to Dita as well, a very long and precious career. Thanks, guys.
Isaac Angel: We certainly join you on the congratulations. Thank you very much, Mark.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to Isaac Angel for his closing remarks.
Isaac Angel: Thank you very much for your ongoing support and actually I have two things to share with you. The first is that we are very optimistic and we are very pleased with our results and I think that the changes taking place and we can see the light at the end of the tunnel and it's not a train coming to us. That's the first thing. The second thing is more personal and I want to really, Dita, which is one of the captains of this industry, has been with the industry and the company for the last 50 years. No doubt that the geothermal industry in the world and Ormat would have never been the same without Dita and Lucien. And we would like to wish them a very bright retirement and thank you very much for what you did for the industry and for the company. And with that thank you very much.
Operator: The conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.